Operator: Good day, ladies and gentlemen, and welcome to the Q3 2018 BlackLine Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference call is being recorded for replay purposes. It is now my pleasure to hand the conference over to Maria Riley with Investor Relations. Ma'am, you may begin.
Maria Riley: Good afternoon, and thank you for your participation today. With me on the call is Therese Tucker, Founder and Chief Executive Officer of BlackLine; and Mark Partin, Chief Financial Officer. Before we get started, I would like to note that certain statements made during this conference call that are not historical facts, including those regarding our future plans, objectives and expected performance are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent our outlook only as of the date of this conference call. While we believe, any forward-looking statements we have made are reasonable, actual results could differ materially because the statements are based on our current expectations and are subject to risks and uncertainties. We do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable law. Also, unless otherwise stated, all financial measures discussed on this call will be non-GAAP. A discussion of why we use non-GAAP financial measures and a reconciliation schedule showing GAAP versus non-GAAP results is currently available in our press release, which may be found on our Investor Relations website at investors.blackline.com, or on our Form 8-K filed with the SEC today. Now, I will turn the call over to Therese to begin.
Therese Tucker: Good afternoon, everyone and thank you for joining us today. It has been two years since Blackline went public on October 28, 2016 and during that time, we have continued to believe in the size and opportunity of this market as well as the importance of the customer relationship as a key building block for our long term growth strategy. In Q3 of this year, we continued to see further validation of a solid demand environment and improving competitive position and strong customer renewal rates. In fact, we believe these business fundamentals have strengthened since our IPO. At the beginning of 2018, we established a number of key initiatives designed to maintain and extend our leadership position. I am pleased with the progress we made in the quarter on those, particularly in the sales organization. This year, we scaled our leadership team for the next phase of growth. This began with the addition of Marc Huffman as COO in March and two new senior sales hires during the summer. While changes in the sales organization can create near term disruption, our leadership team is working to minimize that, while making improvements to the go to market and customer engagement models that will help take us to the next level. Marc and his team have already identified key areas of the sales, marketing and customer organizations that can benefit from their playbook and are in the process of making those changes, which will take some time. Since we last spoke, in addition to the sales changes, we have continued to build out our leadership team with two new recent hires. Andres Botero who joined us as our Chief Marketing Officer and Susan Otto is our new Chief People Officer. Andres who joined Blackline from CallidusCloud is an experienced global B2B marketing leader, skilled at driving results across all functions of marketing. Andres is responsible for Blackline's global marketing strategy and his expertise will help us clearly articulate to the market all the capabilities, benefits and value that Blackline brings to its customers. Andres will be a great partner to the sales team, as we look to differentiate our whole product offering and strengthen our premium positioning against potential new market entrants. Blackline's core values have always been centered on cherishing its customers and its people. Susan understands the importance of the people that make Blackline special. As an experienced HR leader with a strong track record of developing high performance work forces and fostering strong employee engagement, creativity and productivity, she will be responsible for building upon our fantastic team culture so that we continue to attract and retain the best people. I could not be more pleased with the world class management team that Blackline has. Our expanded leadership team is quickly moving to scale their teams, support our customer engagement initiatives and go to market efforts. Together, we are planning for 2019 and beyond. Our InTheBlack Conference and Analyst Days in Las Vegas on November 13 and will provide you with an opportunity to get to know them better. In addition to building our leadership team in 2018, we have continued executing on a multi-year multi-pronged strategy of expanding our strategic footprint inside of large enterprise customers. This effort has included enhancing our system integrator and consulting partner ecosystem, creating a more expansive and strategic product platform and developing a high touch customer service and support team to drive engagement and success. I would like to share with you a few data points that show the early success we are achieving on this initiative. Since going public, we have landed our largest deal to date in five of the last eight quarters. The average deal size of our top 10 customers has grown by over 80% and our top 50 customers by approximately 50%. The average user price has increased at a double digit rate in every quarter. Three of our top 10 customers have the intercompany hub and three have smart close, which we think represents both great progress and a great opportunity. We estimate that 60% of our top 20 customers are engaged in a digital finance transformation project. These metrics confirm that our strategy is spot on and that larger deals are important to drive customer value as well as grow our business. These deals do have longer sales cycles, so we expect them to fluctuate quarter-to-quarter, which can cause lumpiness in the results. Following the record number of large deals closed in the second quarter, we closed fewer large deals in Q3. As a result, we saw the upside of lumpiness in Q2 and the downside in Q3 and we expect to see this type of fluctuation going forward, as we continue to focus on larger deals. On the partner front, we have seen a trend of increasing partner attach rates and influence. While it is not a straight line, 60% of our largest deals included a partner this quarter and we saw better win rates and have a strong pipeline of opportunities. Our co-marketing efforts were very strong and included 28 events in North America alone. We believe these activities are key to creating momentum and synergy with our partners and educating not only the finance and accounting buyers, but also IT on the benefits of Blackline in digital finance transformation projects. Additionally, as we announced in our press release this afternoon, we are strengthening our longstanding relationship with SAP with a new reseller agreement. With this expanded partnership, SAP will add Blackline solutions to its price list, enabling its sales team to sell Blackline worldwide with the same processes, contracts, incentives and conditions as the rest of the SAP portfolio. Hundreds of SAP customers are already using our software and this new agreement will make it even easier for SAP customers to adopt and benefit from Blackline. As with any partnership, this will take time to build, but we believe it creates a great long term opportunity for us to expand our global footprint and we are excited to take our partnership with SAP to the next level. The pipeline for strategic products remains strong and we had a healthy balance between core and strategic products. We did not close any new ICH deals in the quarter and this was to be expected, as we dialed back ICH sales activities and increased our focus on accelerating the time to value for existing ICH customers to ensure successful implementations. During the quarter, we more than doubled the number of ICH instances in production. We believe creating a strong book of reference of ICH customers is important to help further develop the market and drive future sales. As I mentioned before, during the quarter, we held many customer events, which are important conduits to engage with customers, prospects and partners to extend our thought leadership. One of the benefits of having a large base of close to 2500 customers is the information exchange and insight we gain from each additional customer. At Blackline, we have deep visibility in the areas of excellence and best practices across industries, use cases and ERPs. In addition to enabling us to be at the forefront of change in our market and provide great value through our software, this insight drives our ability to be a trusted advisor for our customers. This quarter, we held best practices summits across the US and hosted our first ever international best practices summit in Melbourne, Australia. Participation at these events was very good and partner sponsors included Deloitte, KPMG, UHY and Clearsulting. We also introduced a new event format called strategic client forums, which are hosted jointly by Blackline and our various partners and we helped two of these events in the third quarter. The Seattle strategic client forum welcomed tax, finance IT and other functional leaders from several customers to discuss how they are using Blackline to increase business agility in the face of global accounting challenges and changing business conditions. These customers represented a variety of industries in our different points along their transformations and they included one of the world's leading technology companies and one of the largest US based airlines. Now, I would like to share some information with you about a few of the 92 net new customers that started their financial transformation journeys with Blackline in the third quarter. In Europe, a global material solution company operating in more than 40 countries was in the midst of a 3-year financial transformation project. A key pillar in their transformation plan was built around financial close automation. This necessitated a technology solution that could not only deliver greater visibility, but also reduce the risk in their accounting processes. Ultimately, the breadth and depth of our functionality going beyond basic account reconciliations and extending into areas such as compliance, journal entry management and fluctuation analysis is what positioned Blackline ahead of the competition. This company will be implementing Blackline's close process management solution in tandem with a global ERP rollout. A $4 billion leading audio equipment company wanted to move away from manual Excel-based reconciliation processes that were placing excessive demands on their accounting teams. The company needed a solution to help unify and automate their close processes. Blackline's partnership with SAP and our ability to integrate with the SAP Ariba environment were influential in the win. This company will implement Blackline account reconciliations and task management with the potential for further expansion in to other areas supported by Blackline journal entry, smart close, intercompany hub and compliance. A rapidly growing fitness company was looking for a solution to address several control gaps in the reconciliation and journal entry process that were identified with their accounting consulting firm, PWC. Blackline was selected for our ability to deliver several quick wins around SOX compliance. Moreover, the flexibility of our platform provided reassurance that the organization was investing in a technology solution that would scale to meet the needs of their fast growing business. A biomedical mid-market company with over 700 employees worldwide was using spreadsheets for their close process, which included manual reconciliations. The company needed an automated system to improve visibility and control. Prior to selecting Blackline, the organization had just completed migration from their on-prem ERP to a newer cloud version. As part of the migration process, they evaluated the cloud financial close solution offered by their ERP vendor, but found their functionality lacking, particularly when it came to managing high volume reconciliations. In the end, Blackline was identified as the best of breed solution. This company will begin by implementing account reconciliations, task management and transaction matching with journal entry being rolled out in the second phase. In summary, we continue to add more quality customers in the quarter and made good progress executing on our initiatives. I could not be more pleased with our leadership team that we have built and the changes we have made and continue to make to strengthen Blackline's position as a leader at the forefront of financial transformation. Now, I'll turn the call over to Mark to discuss the financials.
Mark Partin: Thank you, Therese and good afternoon everyone. As a quick reminder, unless otherwise noted, all numbers mentioned during my remarks today are non-GAAP. Additionally, our results and guidance discussed on this call are on the new standard ASC 606 that went into effect at the beginning of this year. We will publish a retrospective of Q3 2017 historical financials for comparison purposes in our quarterly filing. Total third quarter GAAP revenue grew 29% year-over-year to $59 million. The timing of deals helped drive better than expected revenue in the quarter. Our revenue mix in the quarter consisted of 96% subscription revenue, which grew 31% year-over-year. We continued to see strong global demand for our solutions and a good solid performance across all aspects of our business, including international, which represented 20% of the total. We are making good progress on our top initiatives for the year and on track to achieve our revenue growth guidance for the year. Moving to our key performance metrics for the quarter, we added 92 net new customers globally across both enterprise and midmarket. This brings our total customer count to approximately 2,500, representing 19% growth year-over-year. The total number of Blackline users grew to over 214,000, representing 15% growth year-over-year. Sales of strategic products in the quarter were between 15% and 20% of total and did not increase the number of users, but increased the deal size. Our dollar based net revenue retention rate was 109% within our expected range 108% to 110% for the year. One of our top customers was acquired last year, so we have been planning for their churn in Q3 following their integration into the acquiring company. This has negatively impacted both our retention rate end users. Notwithstanding this loss, we are pleased with our progress on customer churn and believe many of the customer focused initiatives that we began implementing last year to raise the level of satisfaction, drive higher utilization and higher lifetime value are working. Gross margin remained strong and consistent at 81% overall. Subscription gross margins were 84%. We have invested in people and process for our strategic products, partners and customer engagement initiatives and believe this is a healthy balance for the business, as we scale and continue to invest in our infrastructure to support our growth. In Q3, we generated net income of $4 million, which is our fifth quarter in a row of positive net income. The better than expected income came from higher revenue in the quarter, which all dropped to the bottom line and from timing of sales and marketing investments related to our InTheBlack user conference in Q4. As a result, we expect the fourth quarter to be profitable, but down sequentially due to the conference. We remain on track to hit our stated goal of making the full year 2018 a profitable year. We generated approximately $5 million in operating cash flow and $2 million in free cash flow for the quarter and expect to be operating at free cash flow positive for the full year 2018. We ended the third quarter with approximately $125 million of cash and cash equivalents and marketable securities. Before I move on to our fourth quarter and full year 2018 outlook, I would like to walk you through the impact of adopting ASC 606 on the Q3 2017 comparative results that are also presented, which we deem to be non-material. As expected, the restated Q3 2017 revenue had an approximate $400,000 decrease or a 1% impact. The Q3 2017 reduction to operating expenses was $1.4 million. Now, let's move to our fourth quarter and full year 2018 outlook, which as a reminder incorporates the ASC 606 standard. Starting with Q4, total GAAP revenue is expected to be in the range of $61 million to $62 million. On the bottom line, we expect to be approximately breakeven for both non-GAAP net income and EPS. For modeling purposes, please note that if we report positive net income, our share count will be 58.2 million fully diluted shares versus 54.9 million shares, if it is slightly negative. For the full year 2018, total GAAP revenue is expected to be in the range of $226.5 million to $227.5 million. Non-GAAP net income in 2018 is expected to be in the range of $4.4 million to $5.4 million. Utilizing diluted weighted average shares of 57.6 million, we expect non-GAAP net income per share between $0.08 and $0.09. And lastly, we continue to expect to be free cash flow positive for the full year. Now, Therese and I would be happy to take your questions.
Operator: [Operator Instructions] And our first question will come from the line of Rob Oliver with Baird.
Rob Oliver: So first one is just on the lumpiness around some of the large deals, you obviously guys are coming off a quarter where you had a fantastic quarter on the large deal size. Just wanted to get a little bit more color on kind of how that sets up for the rest of the year and then I know Mark last quarter you had called out a record quarter in mid-market and some of our structures have been showing real nice activity in mid-market. I know you guys have changed some of the parameters around the go to market there to advantage them in market sales team and how do we think about the customer count going forward, because it might seem to me that the mid-market customer might be slightly smaller, but higher volume customers, should we see that customer count rising?
Mark Partin: I'll go in reverse. I think, on the customer count, you're right in the mid-market, we have seen good continued success. But what you noted is right, they're selling and finding good success at the very high end of the range of customer size and even in Q3, we saw that trend where they landed the highest new logo average deal size to date. So they're really at the higher end of that and I think that in the early years, that was more velocity, smaller deals, they're getting bigger deals at the higher end of the range and that's a lower number of deals. So that does impact the number of deals. I think to your other point about lumpiness, it's right. Therese addressed that in her comments because it has become sort of the byproduct of these great initiatives that we're putting in place. We're seeing this from quarter to quarter where these initiatives of getting very large deals are great. But when in Q2, they land, in Q3, they don't, they get lumpiness. I think, we should expect to see that in the near term as we progress towards these initiatives, so we want to be thoughtful and kind of cautious about billings as a lumpy and variable metric.
Operator: Our next question will come from the line of Bhavan Suri with William Blair.
Bhavan Suri: Hey. I just wanted to touch a little bit here on the international business. It seems like that's going quite nicely, because of some of the past investments. I guess, when you look at the, just what geos are showing and then the new joint venture with Japan Cloud was announced in October, just some color there and then I've got a quick follow up.
Therese Tucker: Well, I'll start with our new venture in Japan. We did partner with Japan Cloud computing and it was a logical choice to move into Japan. If you look at the size of the market there as well as our continued push farther east from the APAC region and so we picked a great partner, I think we're optimistic about its long term prospects and it's just a part of our longer term growth. What's so great about our product is that it actually does address problems that every single company in every single geography actually have.
Bhavan Suri: And then, I guess, can you touch a little bit on the SAP agreement, just maybe a little more color on sort of the puts and takes there in terms of obviously there's a real positive in terms of what happened between you and SAP in terms of the relationship there, but I guess, is there sort of a put there that SAP is thinking of maybe not recommending as much, there are some changes, I just wanted to get a little more color in terms of how that relationship is going to work going forward.
Therese Tucker: Well, in order to talk about how it's going to work going forward, I want to start by just saying that this is a partnership that we've had in place with SAP for more than five years. And we were actually SAPs most successful EBS or endorsed business solution partner to date and I'm really proud of that. Okay? So I look at this new expanded partnership as something that's going to be very positive over the long term and really help us with our reach. If you think about it, I think that the latest numbers that I was looking at is that globally, SAP has something like 30,000 ERP customers, all right and over 8000 ERP financials customers that have more than a 1 billion in revenue and these are not yet Blackline customers. So we think that the extended reach that can be had by embarking on this partnership is a really great long term positive for the company.
Bhavan Suri: I guess, Therese, let me push back just a fraction there a bit. I guess, but they're giving up the incentive and I'm trying to understand sort of how that plays out, it's not incenting your sales people, they've been incented in the past, it's been a great relationship that is quite successful for you guys, obviously for them and for their customers. Do you think it loosens the incentives?
Therese Tucker: No. Actually, the opposite is true. When SAP's sales people can sell Blackline on their paper, they are way more incentivized.
Operator: Our next question will come from the line of Pat Walravens with JMP Securities.
Matt Spencer: Hi. This is Matt Spencer on for Pat. You talked a little bit about the sales changes that are going on and they might take a little bit of time to implement. Can you just provide a little bit more color and some details on those changes and how they're going?
Therese Tucker: Yeah. Absolutely. When I think about the things that Marc Huffman is doing, I'd sort of break it into four areas. One of the - first things that we did was we put all customer facing activities underneath Marc and I think we're seeing better alignment across sales, marketing and services. Okay. And just breaking down those silos and making sure that everything is being passed and communicated properly has been huge. Number two, he's been very proactive about expanding the leadership team, all right, and I know you just saw that we added Andres as our Chief Marketing Officer. I think we've just added some incredible talent and that is very positive on that. Number three, all right, one of the reasons that we hired Marc besides his great personality is that he really does bring with him a playbook on how to get to 1 billion in revenue and so there are certain conventions and things that are sort of normal about how to get there and Marc brings a deep knowledge of what conventional software SaaS companies do to grow and I really appreciate sort of the operational standardization that he's bringing to our resource allocation. So I think it's really important. And then finally the work that he's done and is doing in our partnership expansion. So I would put it across those four areas right now. I hope that answers your question.
Matt Spencer: And then one more if you don't mind, can you just provide some details on what you're seeing with regards to the IT spending environment and customers appetite to adopt technology.
Therese Tucker: We did not see a tremendous change in this quarter. We do see that - I think there is a closer look by IT at all things SaaS, okay, because they want to make sure that they get the best vendors and that they don't simply have 1 million vendors out there, but I don't think in the overall market that we've seen a big change.
Operator: Our next question will come from the line of Brent Bracelin with KeyBanc.
Brent Bracelin: I want to go back to SAP. Specifically asking questions around kind of the why now, so why make the change now, what kind of led to the change, one and then two, as you think about kind of the incentives, how do you incentivize the SAP sales force kind of today versus before? And then lastly, you did talk about this being a long term positive, Therese. Is there the risk of a near term drag in the short run, just trying to think about those three things.
Therese Tucker: You brought up the revenue share. This is a revenue share agreement, okay, and we're not disclosing what those commercial terms are at this point, but they are, I think, they're very positive to all concerned. Okay. In terms of why now, it's really something that we've been working towards for probably a couple of years now, all right, just in terms of, it's been discussed on what the pros and what the cons are, all right, and knowing the reach that SAP has globally, I think is over the long term a terrific accelerator. We are not going to ever, well, I shouldn't say ever, we may never get to having thousands upon thousands upon thousands of sales people, all right. And so being able to take advantage of that I think is a very important thing. Now again in the why now, it really just has been a build over time and we had to have the terms in place that were acceptable to all parties where we all felt like we were going to profit from it and when we got to that point, that's when we decided to do this partnership. I think I missed one of your questions. Sorry about that.
Brent Bracelin: The last one was for you Mark and that's just around, you talked about this being a long term positive. Given the change in the relationship, obviously, if you look at SAP actually, we saw accelerating growth and accelerating contribution from SAP this year. Is there any risk in the short run that there could be a, more paperwork or a change or an impact just to the SAP channel because of this change in the near term?
Therese Tucker: It is not expected to have any material impact in our fourth quarter results and that's already reflected in our guidelines. I don't believe so simply because of our long term nature of the relationship with SAP now.
Operator: Our next question will come from the line of Mark Murphy with J.P. Morgan.
Unidentified Analyst: This is [indiscernible] sitting in for Mark. Thanks for taking my question. First question is the, I mean, I understand billings can go lumpy and sometimes may not provide a clear picture of how the business is doing. So could you help us maybe characterize the general bookings performance in the quarter from your perspective and versus your expectation and have you seen any kind of impact from the recent sales/go to market changes.
Mark Partin: So I'll sort of repeat what you said because I do think it is what we talked about for the time that we've been public that billings does have variability each quarter and that is from the timing of renewals to many things that create that variability in our latest case. When you have the size deals and the large deals that we have closing periodically and you get this Q2 sort of Q3 shift, it creates that variability. So if you trend billings out over time, I would say that it's within our expectations of where we landed. Now expectations around when you land large deals is sort of the reason why this lumpiness is unpredictable and why we don't guide on it. So I think that's probably the best way to characterize this is that it just has a - from quarter to quarter, difficult to predict.
Unidentified Analyst: And Therese, I saw your press release on the EBS connector launched a couple of days ago I believe. How significant is that, didn't you already have an Oracle connector and is that essentially the first step to expansion into the smart close into Oracle at all?
Therese Tucker: We do have a number of different connectors and we always have ways of getting data through and in to Blackline. That's certainly true. We were excited about the capabilities of this connector in that it's much more real time and precisely for our Oracle customer base, which is - makes up a third of our customers right now and so we want to make sure that for the biggest populations out there that we've got it really, really easy to move data back and forth. This is directional in that right now this connector is bringing information in from Oracle. It is not part of the smart close for other ERPs at this point because that's actually data moving in the other direction and that's controlling the ERP inside. Does that makes sense?
Unidentified Analyst: Yeah. Got it.
Operator: [Operator Instructions] And our next question will come from the line of Terry Tillman with SunTrust.
Unidentified Analyst: [indiscernible] on for Terry. The question I wanted to ask was regarding ASC 606 and the impact that has had on your customers. Are you seeing any sort of maybe pent up demand from prospects and had down during a transition to 66 again reconsider the tools you're using.
Mark Partin: No. We haven't actually been able to draw that straight line, like from our own experience knowing the intense amount of effort that it took, we know that it's impacting decisions and priorities, but we haven't really been able to pin down what that looks like. I think in a year or two, we can look back on this and maybe have a better sense for it, but we don't see as you call it sort of pent up demand, it's been pretty consistent demand.
Unidentified Analyst: And then maybe just one other question is, if you could talk about maybe key investment areas you have your eye on as we head into 2019?
Mark Partin: Yeah. Thanks. So we're going to give guidance in February that would be typical for us. At our Analyst Day in a couple of weeks, we'll talk about our growth strategies, you'll meet the team and we'll give a lot of color around where we're planning to invest. You can look at our trended investments around kind of global growth, our partnerships, key initiatives like the consulting partners and so like. Those will be all areas that are driving growth where we will be investing and meeting that demand.
Operator: And our next question will come from the line of Brian Peterson with Raymond James.
Brian Peterson: So I just wanted to hit on the one lumpiness you guys mentioned a bit. And wondered if we could parse that out. Was that on some of the larger deals? Was that maybe a bit of an air pocket from, let's say, the SI channel this quarter or did we see some of those deals maybe just push into the fourth quarter. And historically, well, I've talked to a lot of your customers, you've seen a migration up from one module and typically up to 4, 5, 6, 7, 8. For those customers that kind of start with one module, are you still seeing that same type of cell activity that you've seen over the past few years?
Mark Partin: Yes. Our land and expand model still remains about a 50-50 balance in growth, so the healthiness of - and the balance of landing and then expanding continued in Q3. With respect to the large deals and seeing fewer of them in Q2, but - in Q3, but having a large Q3. There wasn't one thing that contributed to it. We saw the demand. We know it's there. We didn't lose them to anything new or different. These are deals that we just know will, from a timing perspective, are difficult to predict.
Operator: And our last question will come from the line of [indiscernible]
Unidentified Analyst: I might have missed this in the prepared remarks, but did you give out what the SAP contribution was for the quarter and I guess digging in a little bit more on the SAP agreement or the announcement today, will you still be giving out that SAP contribution mix metric in the future, I mean is that kind of an apples to oranges comparison now and that's just not the right way of thinking about that line item anymore, any color on that would be helpful?
Mark Partin: Yes, of course. A good question. So it's about a 23% in Q3 that would be relatively consistent with some of the previous quarters in SAP. The EBS partnership wasn't a factor in Q3 and we plan in the future, this is an agreement that most of what we report in terms of metrics can and will be reported pretty consistently. With respect to the percentage of revenue, it may not be as apple - it may not be oranges and oranges, but we'll be disclosing going forward what our SAP revenue partnership percentage will be.
Unidentified Analyst: And then I just had a quick question on the dollar based net - revenue retention metric, it looks like it's down to about two points here from the second quarter to 109. And it sounded like from the prepared remarks it was really due to a customer that you were expecting to churn from last year and it happened this quarter that caused that metric to downtick. I guess what I'm getting at is, do you happen to know what that dollar based net revenue retention metric would have been and maybe even the net new user account too, if that customer did not turn off the platform.
Mark Partin: Yeah. We do know that. We're not disclosing this specifically. We wouldn't have brought it up if it wasn't material though, so the impact obviously on the net dollar retention rate did tick it down, but 109 is within our range for the year. We expect it to be in the 108 to 110. We were well aware that this happy, long-term customer was going away in Q3 and was going to impact us. We also know that from the user standpoint that losing those users impacted the user rate. So rather than give the metric, I can tell you that it did create a headwind for those two metrics, three metrics actually when you include billings.
Unidentified Analyst: And just one last question for me. The Blackline - the Oracle connector for eBusiness suite, was that built off the technology, was that an extension off the smart close for SAP. And I guess if it was, can we expect that the data flow similar to what you have as smart closing with SAP to eventually come to the Oracle connector that you talked about or that you announced today?
Therese Tucker: At this point, that connector is simply to bring information in. It's not to actually control the Oracle ERP like smart close does, so not at this time.
Operator: Thank you. I'm showing no further questions in the queue at this time. So now, I'd like to hand the conference back over to Therese.
Therese Tucker: Excellent. Thank you everyone for joining us today and thank you for continuing to support us and bringing us your referrals and customers. Do please keep it up. We do look forward to seeing many of you at our upcoming user conference in just a couple of weeks and there, you're going to have a great opportunity to meet our leadership team, our customers and our partners and you get to see what's new in our products. The theme of this year's conference is building trust in an uncertain world and it's about how Blackline can help accounting professionals build trust in their organizations. Thank you so much for joining us today.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This does conclude our program and we may all disconnect. Everybody, have a wonderful day.